Operator: Good morning, and welcome to the Novacyt Full Year Results Investor Presentation. [Operator Instructions] Before we begin, I'd like to do the following poll. For the benefit of those joining us from France [Foreign Language]. I'd now like to hand you to Lyn Rees, CEO. Good morning to you, sir.
Lyn Rees: Good morning, and thank you, and good morning, everyone. We really appreciate you joining us today, and we look forward to giving you the latest update from the Novacyt Group. Presenting today is myself, Lyn Rees, Chief Exec; and Steve, our CFO. And we're just about to celebrate our 1-year anniversary of being the CFO and CEO of this business. A lot has happened over the last 12 months, and we look forward to sharing that with you today. As you know, the Novacyt Group is an international molecular diagnostics company, and we're fundamentally split into 2 key areas. We've got the acquired Yourgene Health business, which focuses on clinical IVD-approved assays and DNA site selection through our range of technology. And then we have our Primerdesign business, which is our research or research use-only products fundamentally in qPCR format that we take out to the global market. Between the 2 businesses, we cover human health, reproductive health, precision medicine, infectious disease and then nonhuman applications such as veterinary, animal, food, water and plant. In terms of the business today, rather than talk through some words, I realize that a lot of you shareholders are probably not aware of where the business is situated or what the business looks like, so we created a short video. And Alessandro, if you could just press play on that, please, on the next slide, and then I'll talk through the video to give you an idea of who we are as an organization and where we currently live. So what you're seeing at the moment is the Manchester Skyline. This is the Manchester Science Park. And the building that we're zooming in on now is Skelton House, which is our headquarters for the Novacyt Group. Okay. I think that video may pause. Alessandro, there we go.
Operator: It's still playing on our side.
Lyn Rees: Okay. So, you can see it, right. We can't see it. Okay. This is going to be difficult for me to give voice-over on, so apologies if my timing isn't quite correct. But what you're seeing is fundamentally Novacyt's Center of Excellence. So throughout this presentation, we're going to be talking through how we've consolidated our business footprint, how we brought all of our products and services to be housed under one Center of Excellence, and this is what you're looking at now. So this is Skelton House based in Manchester. We house about 170 staff in this organization, in this facility. And we currently sit at about 70% manufacturing capacity. So over the last, I don't know, 12 months, we've been busy consolidating the business. So we have brought Eastleigh manufacturing, the Primerdesign manufacturing and dispatch, from Southampton into Manchester. We closed down our Vancouver manufacturing facility that was making range of machines and consumables. That's now based out of this facility in Manchester. And fundamentally, we bought all the backroom services, finance, regulatory, logistics and dispatch, all now sit under this one headquarters based in Manchester. As a group, at the moment, we're employing about 230 people. And we still have a small R&D facility in Vancouver and a sales office in Singapore. But as we've explained and as we will continue to explain throughout this presentation, we brought everything we could into this facility, A, because it's a great facility. Manchester is a great place to be for securing talent. It's a thriving university specifically around genomics and molecular diagnostics, so it's good to recruit top talent. We have a very well-invested facility, cutting-edge technology, equipment, capacity for growth. And we just wanted to show you this today to give you an idea of the size and the scale and the location of the business as we sit today. Now, I must apologize because I don't quite know where you are in this video presentation. Alessandro, could you tell me sort of what time we're on?
Operator: We've just got 40 seconds to go, Lyn.
Lyn Rees: Okay. So I'll just let the video play out. But hopefully, for those watching this, this brings Novacyt to life a little bit for you, shows you where we're located, shows you the type of facilities we have, and hopefully gives you an impression that we're a well-invested professional organization with room for growth. So if you could call that video to an end, please, Alessandro, and move on to Slide 6. Okay. Thank you. So having shown you a little bit about where we're sort of situated and what the organization looks like, I think it's now an opportunity to run through some of the operational highlights, in other words, what have myself and Steve and the rest of the leadership team at Novacyt been doing over the last 12 months. Well, the first thing we focused on was the site consolidation. 18 months ago, 2 very different businesses with 2 very geographical footprints came together. And over the last 12 months, we have closed our facilities in Vancouver and Stokesley. We've relocated all of our Eastleigh operations and production all into the facility you've just seen in Manchester and created an operational Center of Excellence. That project in itself delivered GBP 3 million savings on top of the GBP 5 million savings that we achieved through bringing the businesses together and the first set of synergies. So from an operational perspective, you'll hear Steve talk a little bit later on how our OpEx has dropped from a combined business of GBP 27 million down to GBP 21 million. And we've been really, really focused on understanding our cost base, controlling our cost base, so we can maximize the wonderful cash position that we have as a business. As well as that, we spent a bit of time strengthening the Board. So as I said, it's mine and Steve's anniversary 1 year in our roles from May 1. In addition, obviously, Jo Mason rejoined the Board as our Chief Scientific Officer. And from an NED perspective, we welcomed John Brown into the Chairman role. And we also brought Ian Gilham in as a Non-Exec Director, both of whom have extensive experience in this space and have brought a lot of knowledge to the Board since their arrival. In terms of the products, we've been very much focused on IVDR certification. So apologies if I'm preaching to the informed, but in 2027, the rules of how you take products to market change in the global marketplace, and you fundamentally need IVDR certification. So we've been on the IVDR journey now for the last couple of years. And I'm delighted to say, in the last 12 months, we've received accreditation for our cystic fibrosis assay. This was the first of our reproductive health care assays that we got approved, and we now look forward to taking the rest of the remainder of those products through the same journey to get that IVDR accreditation. We also received the accreditation for our DPYD assay, which is our precision medicine assay. So our 2 key areas of growth in the business have got the necessary IVDR certification. And when we talk about the results a little bit later on, reproductive health had a 26% year-on-year growth in the last 12 months. A lot of that is to do with the regulatory status of our products and the ability to sell them globally under that status. So we've made significant progress making sure our products are able to be sold in the global markets in which we operate. In addition to the site consolidation, we've also been doing some portfolio optimization. So if you look at the overall Yourgene numbers, you'll see they've gone backwards year-on-year. Well, that's fundamentally because we've stopped supplying genomic services out of our Taiwanese facility, which we sold as part of last year. We've also looked to discontinue the MyGo PCR range, which I think did about GBP 1 million or GBP 1.5 million worth of revenue historically, because we didn't feel that there was an addressable market for these products, and we'd rather focus and optimize our efforts on the products that are growing quickly in our organization where we have specific competitor advantage. We did launch new products in the Primerdesign part of our portfolio around mpox and some animal multiplexes and some tests for farming in oysters. So I think the summary of that slide is we spent a lot of time tidying up the business, bringing the business together. The team have worked tirelessly, and I'd like to say a huge thank you to everyone's involvement. But over the last 12 months, we've got control of the costs. We brought the business together from a cultural and an operational footprint. We delivered the synergy savings ahead of the 3 years that we planned. I think we delivered them in 18 months and added on top an additional GBP 3 million worth of savings, which has allowed us to reinvest some of that money into the R&D pipeline. So year 1 has been all about building the foundation. And I'm going to hand over to Steve now, who's going to put those words into numbers for you. Over to you, Steve.
Steve Gibson: Thank you, Lyn. Good morning, everyone. It's great to be with you today to chat you through the 2024 financial results. So we kick off with the financial highlights then. Obviously, we successfully resolved the DHSC dispute. That resulted in a net cash inflow of over GBP 7 million to the business. And that was through receiving over GBP 12 million of VAT that was offset with the GBP 5 billion settlement fee. Now, this triggered a number of accounting entries that impacted our 2024 financial results, so it inflated our gross profit and it also inflated our OpEx figure, and I'll chat through them shortly. So from an underlying revenue perspective, it's trebled in the space of 3 years from around GBP 6.3 million to GBP 19.6 million. And this has been driven by the inclusion of Yourgene revenue post-acquisition. And as Lyn mentioned, we've seen really strong growth in our reproductive health range of products and our range of consumables. Our gross profit was GBP 32.1 million, or over 160%. But clearly, this has been inflated due to the reversal of the GBP 19.8 million product warranty provision that's no longer required following the settlement with DHSC. Now, if we strip out this item, it means that the underlying gross margin was GBP 12.3 million, or 63%. Now, as a business, we were targeting to deliver a gross margin in excess of 60%, and we've done so. And this has been achieved through the help of strong sales in our PCR range of products, where our Primerdesign business delivered a gross margin of over 80%. From an EBITDA perspective, we've made good progress. We've reduced the EBITDA loss by over 20%, down to a loss of GBP 9.1 million. And what you'll notice is that the upside that we saw on gross profit has been offset by writing off the DHSC invoice for GBP 20 million, and that's why OpEx costs are inflated. If we go to the next slide, please. And if we look at it from a revenue perspective, if we kick off from the business unit, so the mix has changed year-on-year. So in 2023, the mix was split roughly 50-50. And that's because, in 2023, there was only 4 months' worth of Yourgene revenue. If we accelerate forward 12 months in FY '24, there were 12 months' worth of Yourgene revenue in the '24 numbers, hence why it delivered around 3/4 of the total group revenue. Primerdesign, on the face of it, it looks like it's gone backwards year-on-year. However, in that FY '23 number, there was around GBP 600,000 of COVID sales. So actually, it's been broadly flat year-on-year, and that stemmed the recent decline in that business. If we go to the next slide, please, if we look at revenue from a geographic perspective, we remain well balanced and have a diversified income stream. And we're not reliant on any one region. And that's a real advantage in the current political climate with tariffs being imposed. So our largest region is Europe, and that delivered sales of over GBP 10.5 million. If I dig into that a little bit deeper, our domestic U.K. market, which is where we have our largest commercial presence, delivered sales of over GBP 4.4 million. France, which is where we have our long-established NIPT customer base, delivered sales of over GBP 2.5 million. And the Asia Pac region continues to be a strong market for us and delivered sales of over GBP 5 million. And that was driven by strong demand for our reproductive health range of products and, in particular, our cystic fibrosis kits. And if we go to the next slide, please, so if we move down the P&L a little bit, so from a gross profit perspective, the underlying margin was in excess of 60%. And this is a threshold that we expect to deliver going forward as a business. Now, just as a reminder, the last couple of years, the gross profit of the business has been heavily impacted as a result of booking large COVID stock write-offs. That is no longer the case and won't occur going forward. From an OpEx perspective, OpEx costs were inflated by around GBP 20 million, and that's as a result of the bad debt write-off associated with the DHSC dispute. Now, if we strip out the GBP 20 million, it means that our underlying OpEx cost was around GBP 21 million in 2024 compared to GBP 15 million in 2023. Now, this increase is driven by having a full 12 months' worth of costs in FY '24 versus only having 4 months in the prior year. So from an OpEx cost perspective, as Lyn alluded to earlier, it's better to look at it on a pro forma basis. Now, when we merged these 2 businesses together about 18 months or so ago, we were running at a combined OpEx cost of around GBP 27.5 million. And we've taken that down to GBP 21 million. So it shows that we've delivered the acquisition synergies that we originally anticipated. Originally, we thought that these synergies would probably take about 3 years to fully deliver, but we've delivered them inside 18 months. So it just sort of demonstrates that we're making good progress on rightsizing the cost base of our business. From an EBITDA perspective, as I mentioned, we recorded a loss of GBP 9.1 million, down from GBP 11.8 million. Now, in addition to the EBITDA loss, if we can go to the next slide please, we saw exceptional costs that totaled around GBP 21 million, and it was made up of 2 key items. Firstly, we impaired the goodwill that was associated with the Yourgene acquisition following the completion of the purchase price allocation process, and that resulted in a charge of just over GBP 11 million. And then the other big item was there was around GBP 7.3 million of costs associated with the DHSC dispute, including the GBP 5 million settlement fee. The balance is then made up of restructuring charges and also Taiwan disposal-related fees. Other financial income expenses netted to a cost of over GBP 2 million. And within that number, there was over GBP 1 million of interest that we received on our cash [Technical Difficulty]. So what this meant, overall, the group reported a loss after tax attributable to the owners of just under GBP 42 million. Now, if we turn to the balance sheet, what you will see is that there's been some big movements in the end of FY '23. So noncurrent assets has reduced by around GBP 16 million, and that's driven by the completion of the purchase price allocation process and then subsequent impairment of goodwill. Trade receivables has decreased by over GBP 30 million, and that's because we wrote off the DHSC invoice for GBP 24 million. And then also, we successfully reclaimed over GBP 12 million of VAT from HMRC in the U.K. And then current liabilities has also decreased as a result of releasing the product warranty provision for just under GBP 20 million. If we go to the next slide, please, we can just have a look at cash. So from a cash perspective, we consumed around GBP 13.5 million of cash in 2024 and closed the year with around GBP 30.5 million in the bank. Now, there were some of these cash outflow items and inflows that won't repeat again in 2025 or will reduce. So firstly, we obviously announced the closure of the ITIS business, and we burned through GBP 1.7 million of cash in 2024 that won't repeat again in 2025. There's no further contingent considerations attached to any of the historic milestones, so that GBP 0.9 million of cash outflow will also not repeat going forward. Leasing costs will start to reduce as we complete the site closures and also the upside that we saw in the DHSC case will not repeat again, clearly. So that was a quick run-through of the '24 figures. And we've just got one slide to touch upon how we've kicked off 2025. So the Q1 2025 performance is in line with our expectations from both a revenue and EBITDA perspective. And if anything, they're slightly above, which is really pleasing. We've made really good progress on the various different site closures, and we're on track for delivering the savings that we previously announced that will improve the bottom line. And what this has allowed us to do as a business is we've chosen to reinvest over GBP 2 million into R&D to drive organic growth, and we would expect that to deliver incremental sales in H2 of this year through the launch of a number of new products. From a cash perspective, we closed the end of March with just under GBP 28 million in the bank, which meant a cash outflow in Q1 of around GBP 2.5 million, of which around GBP 0.5 million of that was exceptional costs. So I think my final point is I just want to really reassure investors that we believe as a management team that we have enough cash to self-fund the business through to profitability. We obviously need to grow the top line to get there, and that's why we're investing heavily in R&D to do that. That was a short overview of how we've kicked off this year, and I'll hand back to Lyn now.
Lyn Rees: Thank you, Steve. And as I said, we've been heavily invested as a leadership team, as a Board, rightsizing this business, bringing these two businesses together. And we recognize that we've been quiet as a result of that because we've just been so hands-on with the heavy-lifting that process requires. Now that work is almost complete, we're looking forward to the future. So at some point at the end of the summer, we'll be announcing a time where we will be updating our investor base and the market on our growth plans. But just to give you a little bit of a flavor of where we're looking to invest and focus, I think this slide will do that. So first on the list is reproductive health care. This is the part of the business that grew 26% year-on-year over the last 12 months. We've won some new NIPT accounts and continue to install in Europe, Asia and South America. As both myself and Steve have explained, we've seen significant growth in our cystic fibrosis products in Australia due to changes in the government reimbursement. And we would expect to see that reimbursement environment change positively for us in the future as well with additional products that we're looking to launch already being reimbursed and some of our existing products going through that reimbursement journey. We've got the products approved, both the QST*R and the cystic fibrosis, from an IVDR perspective, so we can sell them anywhere in the world. Our IONA and Nx NIPT workflow, the kind of flagship product, is going through IVDR submission this summer. And when that completes, we'll be the only approved product in the market that does microdeletions and copy number variants and can work on dual sequencers, so platform-agnostic product to take to the market. So reproductive health care growing nicely at 26%. We're going to be investing some of the GBP 2 million that Steve has mentioned back into some new product development, into this market, and we look forward to seeing continued growth there. Precision medicine, this is our DPYD product. We were the first kind of approved DPYD product on the market. Since then, the competition has caught up a little bit. So again, we're investing some of that R&D fund into giving us a bit more content. DPYD still sits as an orphan product, so we're going to be bringing some new cancer products or oncology products to sit alongside that as well as upgrading our DPYD product that will be launched to the market within the next 12 months. Infectious and I should say reproductive health care and precision medicine account for about 70% of the group turnover at the moment. So we're making quite a big investment into those markets with new products under our new Chief Commercial Officer Maria Watters' leadership and management. Infectious disease, this is the old Primerdesign part of the business. As Steve has mentioned, this is the part of the business that sort of splits out 80% margin. It's a bit of a cash cow. We have stabilized that product line. So that product line had shown decline year-on-year for the last 3 years. And if you strip out COVID sales, it was fundamentally flat for this year. In terms of continuing to support that part of our business, we're building an e-commerce platform for low-touch customer revenue growth. So these are research institutes, students, academics. And at the moment, we haven't got the ability to buy online, so we're launching that in H2 this year. We've got a distributor optimization program running out currently. We're bringing new products into this space as well around companion animals, mpox, et cetera. So even though it probably accounts for 25% of our business, we're still investing into this part of our business because, as I say, it's our cash cow, it spits out great margin and has been instrumental in helping us achieve that 60% margin threshold which we set ourselves this year. Finally, our Ranger technology currently sits at about 5% for instrument sales. And we've seen a decline in the instrument sales or certainly flattening out because of models moving to consumables now. So we've seen a 13% increase in our consumable sales as we switch from razors to razor blades. And we're again investing in this space. So there's a new LightBench due for launch at the end of H1, early H2, with significant market differentiators. It does size selection as well as fragment analysis. So it means that, if you're a lab or an operational facility, you only need to have 1 piece of hardware and one process as opposed to dual hardware, dual process. So we believe we have significant differentiators in that space, and we're investing in bringing that to market. So a summary, two of these areas are growing really, really well. One of the areas we've made sure has stopped going backwards, and we're going to be heavily investing in Ranger. And what we're doing here is fundamentally laying the foundations for future growth. And apologies for repeating what we've already said, but we've spent the last 12 months significantly reducing the cost base, over GBP 8 million worth of savings. We've rationalized the product portfolio to make sure that we're focusing on the right products where we have a differential and where we have growth opportunities. And we've discontinued, as a result of that, low-margin products that we took to market. We've rightsized our operational footprint, 1 team, 1 culture, 1 site, and that site has capacity for future growth in our Center of Excellence. In terms of key products, because of the work that we've been doing diligently in the background for many years on quality, we've hit the key milestones around IVDR and reimbursement. And that has come through in the growth of our clinical products, our reproductive health care products, which is 26% year-on-year growth that we've seen in the last 12 months. We're looking forward to more collaboration and more product enhancements in the future to continue that growth. We've worked with our Board and got agreement to spend an additional GBP 2 million to strategically invest in R&D. As Steve mentioned, we need to get more revenue to hit breakeven. And we've got a fundamental business that's got about a GBP 20 million stable base of revenue. We need to be bringing more products and more content to our commercial team. And that additional investment is going to fast-track some of those R&D projects, and we look forward to sharing those with you, as I said, towards the end of the summer. We feel the business is significantly derisked as a result of these actions that we've taken over the last 12 months. And whilst we've been quiet, we've been quiet because we've been so, so busy doing these processes. We think we are well funded as an organization. We're in an incredibly lucky position from a cash perspective compared to a lot of other businesses like us in the market. And we're going to treasure that cash and use that cash to make sure that we reach our EBITDA profitability without having to go and raise additional capital. And as I said, I look forward to sharing that comprehensive growth strategy with you over the coming months. So I think, Alessandro, that's the end of the presentation now. We've received obviously some questions. So thank you for everyone that's pre-submitted questions. I've got a selection of them here. And in the time that's left, I'm going to read them out so that Steve and myself can answer them. So Steve, the first question is coming your way. What is the ongoing issue with the HSE? Is it likely to materially impact the group?
Steve Gibson: Certainly. Thank you, Lyn. So just to remind people a little bit about this deal, so this was an asset purchase agreement that we did back in 2018, so 6 or 7 years ago. And as part of this acquisition, we took on effectively a really small facility. It was a 2-man operated facility in a place called Axminster in the U.K. And effectively, that facility did breach HSE rules. So it was only operated for a period of between 6 to 9 months, and then we closed the facility down. There was a hearing in the last few weeks where, as a business, we pleaded guilty to the various allegations made. There will be a follow-up sentencing hearing that will happen on the 11th of September. And I think there's been a number of queries around, is this going to be material to us as a business? So just to be really transparent, the legal advice that we've been given indicates that we will be fine, but it should be less than GBP 250,000. So when you look at our current cash balance of circa GBP 28 million, it's not a material item. So hopefully, that answers that question.
Lyn Rees: Thank you, Steve. And the next question is coming your way as well. How have the current U.S. tariffs impacted Novacyt? And what steps have you taken as a group to mitigate the impact?
Steve Gibson: I think, so at the moment, the tariffs haven't had a material impact on our business at all. So when you look at the amount of sales that we do directly into the U.S., it's around 7% of our revenue. So if you annualize that out, it's going to be in the region between GBP 1 million and GBP 1.5 million. So it won't have a massively material impact. If anything, we think there will be opportunities here to go into the Canadian market and try and displace some of our American competitors. And as we're in this sort of 90-day hold period, if it maintains that the EU region -- their tariff is 20% versus the U.K. tariff only ends up being 10%. And again, we believe that, as a U.K. sort of centric business, that we could go and potentially again displace some of our European counterparts in the Americas region. So as a business, it's probably costing us about GBP 10,000 at the moment per month, so it's not a huge number. So we're going to wait and see this 90-day pause, and then we'll decide what's the right strategic direction to go in as a business, but we're actively looking for opportunities at the moment to exploit this.
Lyn Rees: Thank you, Steve. The third question, and there was actually a couple of questions around this sort of topic. Why hasn't there been a strategic update yet? How can you know which areas to invest in without the strategy? Well, hopefully, what we've showed today is we do know where to invest. We can see the growth areas of the business, the Ranger technology and consumables, the reproductive health care. We think we've got a great opportunity in precision medicine, which is growing, but we still only have sort of 1 product in that market space. And obviously, the Primerdesign business, which whilst not growing rapidly provides such a strong cash foundation for the business. The reason why we haven't been out sooner is because, as I said, we've been incredibly busy rationalizing and consolidating the business. And anyone that's ever done that or been involved in that process, you know that's a complicated process. You're moving manufacturing of critical products, products that are used every day in the market to make a difference in people's lives. You take your time on that. You do that properly. There's validation. There's people to consider. There's a whole range of products and programs. So we've been heavily involved and investing all of the leadership time and the organizational time consolidating that footprint and building a foundation on which we can deliver future growth. So apologies, shareholders, for being so quiet over the last 12 months, but we've been incredibly focused on that work stream. As we're coming out of that work stream now and hopefully what we've demonstrated to you today is that we delivered the things that we said we were going to do, we can now start focusing on the future. So as I said, sometime at the end of the summer, September onwards, we're going to be coming back to market with a comprehensive growth plan, talking to you about addressable markets, sharing with you the new products that we're going to be launching. And you're going to get to hear from a wider selection of the Novacyt team, not just myself and Steve. Jo Mason, our CSO, Maria Watters, our newly appointed Chief Commercial Officer and various other members of the team will bring the story, hopefully, to life for you, help explain why we're excited about the new products and the new technology and help explain why we think we have differentiators that we can successfully launch those products and continue the growth that we've seen over the last 12 months. So thank you for all of those questions on that. Thank you for all of the patience that you've given us so far, and we look forward to sharing the update with you shortly. Lyn, what new products are being launched? Well, I'll give you a bit of a heads-up on that. I don't want to go into too much detail because I don't want to give our competitors a head start on that. But we've certainly got a new LightBench platform coming up that does size fragmentation as well as size analysis. That's the need to have 1 machine as opposed to 2. And we think that will continue the growth and the utilization of the Ranger technology that we see at the moment in the market. [Technical Difficulty] use Ranger right now today. We want to globalize that, and we think this new technology is helping it. We've got some new launches coming in reproductive health. We've got some new launches coming in precision medicine and also some new stuff in infectious diseases. And as I said, we'll be sharing that with you when we re-launch the story in the coming months. This is definitely a Steve question. How are you going to avoid running out of cash given the current cash burn rate, Steve?
Steve Gibson: Okay. Thanks. Well, look, I think it's a straightforward, twofold approach, right? One, firstly, reduce your cost base, secondly, grow the top line. So what are we doing to address them? So from a cost perspective, hopefully, the numbers have demonstrated that we've taken it from a pro forma cost base of around GBP 27 million down to GBP 21 million. And we've done that through delivering the various acquisition synergies and also the site consolidations that we've announced. So our cost base is coming down naturally and, obviously, that will reduce the cash outflow. And then that has allowed us to then invest, as we've mentioned a couple of times, in R&D. So the investment we're making into R&D will take R&D expenditure to over sort of GBP 4.5 million per year. and that will drive the organic growth in the business. So by reducing our cost base like we've done over the last 12, 18 months, and we would expect to now, with the investment in R&D, start to see the top line growing over the next 12 to 18 months. Obviously, that will reduce our EBITDA loss and slowly move us towards EBITDA profitability and cash generation. So I think, just to reiterate, as a management team, we're still confident that we have adequate cash reserves to fund our way through to breakeven and then on to profitability.
Lyn Rees: Thank you, Steve. Lyn, is the Yourgene integration now complete? Yes, largely. I think, as I said, we've got a couple of leases left that will finalize towards the end of this year. All of the staff relocations have been done, the integrations of systems. So yes, I think we're pretty much done on that, and it's been a lot of heavy lifting over the last 12 months. And if there are any Novacyt people listening in on this today, I'd like to just express my thanks and gratitude for a tremendous job delivering a challenging program over the last 12 months and delivering it successfully, so thank you. And I think the final question I'll just answer is we get asked a lot about why, as management, we haven't bought shares yet. Well, we've been pretty much in a closed period ever since we took on our jobs, between the various things that are happening externally and internally within the organization. I very much believe in the future of this company. I'm absolutely committed to this organization, and I look forward to being in an open period moving forward. I think that's most of the questions that have come through today. So Alessandro, I think there's probably a few things you need to tidy up just before closing statements.
Operator: Yes. So I'd just like to thank you for addressing the questions from investors. Of course, the company can review all the questions submitted today, and we will publish those responses on the Investor Meet Company platform. But just before redirecting investors to provide you their feedback, I know it's particularly important to you both, Lyn, can I just ask you for a few closing comments?
Lyn Rees: Yes. Thank you. So I think, what have you heard today? You've heard that we set ourselves some margin targets that we've delivered. You hear that we set ourselves some saving targets that we've delivered. Hopefully, whilst we couldn't see the video running here live in London, you were able to see our new operational footprint and Center of Excellence. Steve has explained a very complicated balance sheet over the last 2 years. Hopefully, that's the last complicated balance sheet Steve will ever have to show ,because we spent all this year clean it up. We're in a privileged cash position, and we have no need to raise additional capital to deliver our organic growth. Our key market segments are growing. Reproductive health care and Ranger have both delivered double-digit growth in the last 12 months. We've stabilized Primerdesign, our research use-only set of products. That is our cash cow and spits out 80% margins. We've been able to convince the Board to invest an additional GBP 2 million in R&D. That's going to drive our organic growth over the next 3 years. We acknowledge we've been quiet, but we've been quiet because we've been incredibly busy rightsizing and bringing these 2 businesses together. And now that we've done that, we're super excited about sharing that vision with you before the year ends. So thank you, everyone, for your time today. And as I said, we look forward to further communication in the next couple of months or so. Thank you.
Operator: That's great. Lyn and Steve, thank you once again for updating investors today. Could I please ask investors not to close the session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, but I'm sure will be greatly valued by the company. On behalf of the management team of Novacyt, we'd like to thank you for attending today's presentation, and good morning to you all.
End of Q&A: